Operator: Ladies and gentlemen thank you for standing by and welcome to the Full Year 2019 Financial Results and Business Update Conference Call. At this time, all participant lines are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Scott Smith, Senior Vice President and Chief Financial Officer at Ascendis Pharma. Please go ahead.
Scott Smith: Thank you operator. Thank you everyone for joining our full year 2019 financial results conference call today. I am Scott Smith, Chief Financial Officer of Ascendis. Joining me on today’s call is Jan Mikkelsen, President and Chief Executive Officer; Tom Larson, Chief Commercial Officer; Dr. Juha Punnonen, Head of Oncology and Dr. Dana Pizzuti, Head of Development Operations. Before we begin, I would like to remind you that this conference call will contain forward-looking statements that are intended to be covered under the Safe Harbor provided by the Private Securities Litigation Reform Act. Examples of such statements may include but are not limited to our progress on our pipeline candidates and our expectations with respect to their continued progress, statements regarding our strategic plans, our goals regarding our clinical pipeline, statements regarding the market potential of our pipeline candidates and statements regarding the planned regulatory filings. These statements are based on information that is available to us today. Actual results or events could differ materially from those in the forward-looking statements and we may not achieve our goals carry out our plans or intentions or meet the expectations or projections disclosed in our forward-looking statements and you should not place undue reliance on these statements. Our forward-looking statements do not reflect the potential impact of any licensing agreements, acquisitions, mergers, dispositions, joint ventures or investments that we may enter into or terminate. We assume no obligation to update these statements as circumstances change except as required by law. For additional information concerning the factors that could cause actual results to differ materially, please see the forward-looking statements section in today’s press release and the risk factors section of our most recent annual report on Form 20-F. Please note that our TransCon product candidates are investigational product candidates and are not approved for commercial use. As investigational products, the safety and effectiveness of the TransCon product candidates have not been reviewed or approved by any regulatory agency. None of the statements made on the conference call regarding our TransCon product candidates shall be viewed as promotional. On today’s call, we will discuss our full year 2019 financial results and provide a business update. Following some prepared remarks we will then open up the call to questions. I will now turn the call over to Jan Mikkelsen, our President and Chief Executive Officer.
Jan Mikkelsen: Thanks, Scott and good afternoon everyone. In 2019 we continued to make progress toward our strategic goal to become a leading biopharma company as outlined in our Vision 3x3. Today, I will review some of our major achievements and progress in 2019 and provide an update on our pipeline and outlook for 2020. To start with the overall conclusion, I am proud to announce we are currently still on track to achieve our stated 2020 corporate milestones. There are several reasons why the pandemic situation has had little impact on our near and long-term milestones. Firstly, Ascendis global structure, we are operating through cross-functional teams across different geographic regions and time zones. We know how to work with this and have established decision-making procedures without the need to meet in person. Secondly, diversification of our business partner and operation across multiple geographic regions, as a global company, we have diversified our supply chain and clinical reserves across multiple geographic regions. This has enabled us to avoid concentrating too much risk in one geographic region or one vendor. Next, our ability to adapt, one of our key leadership competence is managing complexity and dynamic decision-making. Our team of around 400 people across Europe and the U.S. has demonstrated passion and commitment to achieve great things in their persistent pursuit of our milestones. And finally, it is our employees, the people we have hired and their dedication to our core values and focus on our Vision 3x3. These core values sort of being patient-focused and scientifically driven are embedded in our culture. I am proud to say to have contributed greatly to the decision-making and problem solving that keep us on track. Over recent weeks, I have seen many examples of this as we have adapted to the current situation and work to find solutions to tenants for our trials to proceed for investigators and subjects to receive clinical drug supply and for us to meet timelines, all while being mindful on everyone’s safety. Our progress is possible because our team, our ability to adapt, a strong focus on our values and vision and the support infrastructure we have in place. Even so we are very proud about what we achieved in 2019. We aim to accomplish even more in 2020. Let me review the status of our pipeline programs. Starting with TransCon Growth Hormone, we are on track with our plans to submit the U.S. BLA filing in the second quarter and the MAA filing in the fourth quarter both for pediatric growth hormone deficiency. We have executed a robust Phase 3 program evaluating the potential of TransCon Growth Hormone in both treatment-naïve and treatment-experienced subjects. Remember, that TransCon Growth Hormone is the only long-acting growth hormone in clinical development that release somatropin with the identical amino acid sequence and size to daily [indiscernible] growth hormone. By releasing somatropin, TransCon Growth Hormone is designed to maintain the same mode of action as daily growth hormone and attempts to preserve the biological balance of direct and indirect effects of growth hormone. We believe this is the reason for the positive outcome of our clinical data to-date. Results from the pivotal Phase 3 heiGHt trial demonstrated superior efficacy as shown by statistically significant increase in annualized height velocity at 52 weeks and a safety profile comparable to daily growth hormone. As reported January, heiGHt subjects who originally received TransCon Growth Hormone and enrolled in our long-term extension trial enliGHten and were treated for an additional 26 weeks for 78 weeks in total maintained the superior growth with TransCon Growth Hormone compared to the patient who started on Genotropin and switched to TransCon Growth Hormone at week 52. And the safety profile for TransCon Growth Hormone across all three of our trials is consistent with the safety profile of daily growth hormone. Our auto-injector has now been used by more than 160 patients and we have positive feedback from sites and patients regarding their experience. We are on track with TransCon Growth Hormone. We have completed manufacturing of PPQ batches. We have completed the development of the auto-injector on a track for commercial availability. We have had two pre-BLA meetings with the FDA related to CMC and for clinical, non-clinical packages and we are now working toward completing of our BLA filing as planned during Q2 followed by MAA in Q4, but we are not stopping there. We expect to create sustainable growth for TransCon Growth Hormone by global clinical reach of pursuing new indication. For global clinical reach, in China, VISEN has indicated a pediatric growth hormone deficiency Phase 3 trial and in Japan we plan to initiate a pediatric growth hormone deficiency Phase 3 in the fourth quarter. Related to pursuing new indication for TransCon Growth Hormone, we announced yesterday that we have submitted an IND amendment to imitate our global adult growth hormone deficiency Phase 3 trial, the foresiGHt trial. We plan to begin worldwide enrollment later this year. Our aim is to demonstrate the benefit of TransCon Growth Hormone in adults with the primary objective to evaluate change in [indiscernible] to further highlight the advantages of a long-acting somatropin. For products supply so far, we are producing according to our plans to be ready for our launch and we have not seen a direct impact of the pandemic on our commercial production. Finally, our commercial organization is on track for launch in the U.S. in 2021. We truly believe we are raising the bar and have established a new benchmark in growth hormone replacement therapy with TransCon Growth Hormone. Turning to TransCon PTH, we are developing a true PTH replacement therapy designed to sustain physiologic levels of PTH 24 hours a day, 7 days a week with once-daily administration. What does it mean to be a true replacement therapy? It means that TransCon PTH is designed to normalize serum and urinary calcium levels, serum phosphates and bone turnover and to remove standard of care which is activated by vitamin D and high dose calcium supplements. We believe this is the optimal product candidate to address both the short-term symptoms as well as the long-term complications of hypoparathyroidism. In November, we announced expansion of the TransCon PTH Phase 2 PaTH Forward trial to expand the enrollment with subjects previously treated with NATPARA in the U.S. The decision was made in response to the NATPARA recall. Final enrollment in our Phase 2 trial was 59 subjects including 17 subjects previously treated with NATPARA. Now, let me remind you of the Phase 2 trial design. Subjects in the fixed-dose portion of the PaTH Forward trial receive a specific fixed-dose of 15, 18 or 21 micrograms or placebo once daily for four weeks. The trial has a composite primary endpoint. The proportion of subject with normal cerum calcium, normal urinary calcium or activated vitamin D and taking less or equal to 1,000 milligram per day of calcium supplements. We choose this composite endpoint because it is a measurement of the treatment of the disease in the absence of standard of care. All four components are correlated reflecting the underlying biology of HP and PTH regulation of serum and urinary calcium and phosphate. In addition, to elucidate the safety and efficacy, the fundamental purpose of this Phase 2 trial in the four-week fixed dose period is to find the optimal starting dose for TransCon PTH and establish the algorithm for complete withdrawal of standard of care. Why is this important, because to have a true replacement therapy, it is essential to remove standard of care. To be clear, we are not developing TransCon PTH to be an adjunct therapy like NATPARA, which is used in addition to standard of care, but our goal is to establish TransCon PTH as a treatment for HP. The PaTH Forward trial is being conducted with a ready-to-use, pre-filled pen device that is also our intended commercial presentation. And finally we are also including patient reported outcome in the trial, which will strengthen our overall value proposition for TransCon PTH. Following the four-week blinded period period subjects in the PaTH Forward will then enter the open label extension where they all receive TransCon PTH. The open label extension is very important for informing how TransCon PTH will work in Phase 3 and then in the real-world as each patient will be titrated to their preferred PTH dose. There will be a relation at different time periods including after 6 months, which is the expected treatment period for a Phase 3 trial. Following 6-month treatment at the maintained dose, that would be evaluated on a composite primary endpoint as expected for Phase 3 trial, the proportion of subject with normal serum calcium, normal urinary calcium of activated vitamin-D and taken less or equal to 500 milligram per day of calcium supplement. 58 subjects continued into the open-label extension study. Now looking ahead, we remain on track to report top line results from the trial data this month in mid-April. The result we are most eager to see is the number of subjects who have been able to withdraw from standard of care both at the four weeks endpoint and after transition into extension. Already, we had a preview of soft data in general the first eight subject were completed four weeks of follow-up in the open label extension portion had completely discontinued standard of care meaning they are no longer require supplement to control the calcium. This finding will enforce our target product profile for TransCon PTH as a true replacement therapy. Finally, after the top line Phase 2 data, we will report the long-term 6 months data from the open label extension portion of PaTH Forward later this year in Q3 based on the planned Phase 3 endpoint, a key indicator of success in Phase 3 and the longer-term benefit of TransCon PTH. We also remain on track with our plan to initiate a global Phase 3 trial in North America, Europe, and Asia in the fourth quarter of this year. We just successfully completed our [indiscernible] study supporting Phase 3 development in Japan showing no difference in PK profile between Japanese and non-Japanese population. We are very encouraged by the results we have seen so far in this program and the potential for patient who will see a true replacement therapy. We’re moving current standard of care and create a new treatment standard for HP. We are excited to share the top line data with you in the coming weeks. Moving to TransCon CNP, the achondroplasia signaling defect is well understood. We are now seeing the reported Phase 3 clinical data with another CNP compound that further has validated this pathway and the benefit of CNP despite a much shorter half. Data also suggests that if you only have exposure of CNP for a limited amount of time, the effect will not be as a strong as this continuous exposure. This is where biology subjects how TransCon CNP can make a difference if a pathway is abnormally activated firing 24 hours a day, 7 days a week it needs to be counterbalanced with a continuous dock exposure 24 hours, 7 days a week. That is the concept that we have demonstrated in our Phase 1 data. We showed TransCon CNP has a height life of 120 hours with no serious AEs reported at doses up to 150 micrograms per kilo. This Phase 1 results support our target product profile. Our global Phase 2 ACcomplisH trial is evaluating the safety and efficacy of TransCon CNP and escalating doses of six, 20, 50 or 100 micrograms per kilo and up to 60 children between the age of two to 10 years of age with achondroplasia. The primary endpoint of ACcomplisH is annualized height velocity and key secondary endpoint includes changes in body proportionality or co-morbidity and patient reported outcome. We continue to work toward escalating sequential dosage cohort throughout the year while ensuring the safety and subject during the current pandemic and access to sidestep for future monitor basis. You could ask when do you expect to see an effective dose our TransCon CNP, will it be in 2020 or 2021? The answer is we do not know it. It represents a 6, 20, 50 or 100 micrograms turned out to be an effective dose, it could either be this year or next, we have to run to try to find out. Through our strategy of expanding global reach, we are working with VISEN Pharmaceuticals to expand our clinical program in China where ACcomplisH China is on track to be initiated in the fourth quarter of this year. This is an example of how quickly the environment can change and the vision now operating full speed ahead, our ability to leverage clinical development in China is accelerating the TransCon CNP program globally. In achondroplasia, we really want to address the co-morbidity of this disease. With continuous exposure, we believe we can restore than scope and affect not only height, but also address the comorbidities of achondroplasia. This is where we see the potential of TransCon CNP. Finally, in oncology, our aim is to create best-in-class oncology therapies by building on the same scientific principle we apply to our three independent rare disease endocrinology products. We do this by applying both systemics and [indiscernible] TransCon technologies for clinical validate pathways to improved outcomes. We are building and diversified high value pipeline addressing multiple indication where our products are currently limited by sub-optimal efficacy and systemic toxicity. This is how we identified our first two differentiated IND candidate, TransCon IL-2 beta/gamma and TransCon TLR7/8 Agonist. We are on track with this program and plan to submit an IND or equivalent, our first oncology program in the fourth quarter of this year. As I think about how Ascendis has achieved all these great achievement in 2019 and now in 2020 I think about the adaptability and resourcefulness of our organization. The ability of the company to continue to execute on our goals is a true reflection of the dedication and flexibility of the Ascendis employees especially during the environment. I would say that it is a challenging time, but drug development is always challenging and we always look for the best people to solve the issues. This is the positive attitude and spirit to face this challenge every day year in and year out, our values and this corporate culture that drive us to move ahead with our pipeline program so we can make a meaningful difference in patients lives. Now let me turn the call over to Scott before we open up to questions.
Scott Smith: Thank you, Jan. Turning to our financial results for the full year ended December 31, 2019. We reported a net loss of €218 million or €4.69 per basic and diluted share compared to a net loss of €130.1 million or €3.17 per basic and diluted share during 2018. Now, let me run through some key components of these results. Research and development costs for 2019 were €191.6 million compared to €140.3 million during 2018. R&D costs in 2019 reflect continued advancement of our pipeline with the primary drivers of the R&D increase including for TransCon Growth Hormone cost of manufacturing PPQ batches and initial costs of building commercial inventory for TransCon PTH costs associated with our Phase 2 PaTH Forward Clinical Trial, for TransCon CNP costs associated with our ACHieve natural history study and ACcomplisH clinical trial, costs related to continued build-out of our oncology therapeutic area, and finally an overall increase in personnel and related costs. General and administrative expenses for 2019 were €48.5 million compared to €25.1 million doing during 2018. These higher costs primarily reflect an increase in personnel and related costs as well as continued build-out of our commercial capabilities. Other income and expenses included in an unrealized non-cash gain of €7.7 million compared to an unrealized non-cash gain of €20.7 million in 2018 due to foreign currency exchange rate fluctuations. We ended 2019 with cash and cash equivalents at €598.1 million. Please refer to our latest 20-F filing for additional information. Turning to 2020, we expect increased expenses as we continue to advance our endocrinology rare disease pipeline, expand our activities in oncology, and continue to invest in the TransCon technology platform. We expect R&D costs will include for TransCon Growth Hormone commercial inventory build in preparation for launch, which will be expensed to R&D until BLA approval, clinical trial costs primarily related to the ongoing Phase 3 enliGHten trial in pediatric growth hormone deficiency and the Phase 3 foresiGHt trial in adult GHD, costs associated with ongoing development of our proprietary auto-injector and connected health platform, and preparations for the BLA filing, which we anticipate in the second quarter of 2020 and the MAA filing in the fourth quarter of 2020. For TransCon PTH, ongoing costs associated with the Phase 2 PaTH Forward clinical trial and preparation for initiation of a global Phase 3 clinical trial in adults in the fourth quarter. For TransCon CNP, ongoing costs associated with our ACHieve natural history study and ACcomplisH Phase 2 clinical trial. For our oncology therapeutic area, costs to advance our pre-clinical product candidates including costs for supporting our first IND filing expected in the fourth quarter. And finally increased headcount and infrastructure costs related to our growing organization. We expect SG&A expenses will include continued investments in personnel, systems, and infrastructure to support our rapidly progressing portfolio and growing organization and continued build out of our commercial capabilities to support key pre-launch activities as we approach a potential approval and launch of TransCon Growth Hormone. For 2020, we expect that capital expenditures will increase compared to 2019 as a result of investments to expand our TransCon Growth Hormone commercial manufacturing capacity and expansion of our facilities footprint including for our oncology R&D organization. We were pleased to report great progress during 2019 and look forward to providing updates on our planned milestones for this year. As Jan mentioned, we’re fortunate to have the capabilities in place to adapt to today’s rapidly changing environment. This includes the ability to staff personnel in the optimal geographies, rapidly adjust our supply chain to address both the macro environment and the change in competitive landscape, and continue to execute while working remotely. In summary, during 2020, we remain on track to achieve the following milestones: for TransCon Growth Hormone, submit the BLA filing in the second quarter and the MAA filing in Europe in the fourth quarter and initiate a Phase 3 clinical trial for pediatric GHD in Japan in the fourth quarter. For TransCon PTH report top line Phase 2 PaTH Forward data in mid-April followed by 6 months open-label extension data in the third quarter and initiate a global Phase 3 clinical trial for adult hypoparathyroidism in the fourth quarter. For TransCon CNP, through our strategic investment, we continue supporting VISEN Pharmaceuticals as they work to initiate a Phase 2 clinical trial for achondroplasia – ACcomplisH China in the fourth quarter and lastly, in our oncology therapeutic area, submit our first IND or equivalent by the end of the year. We are executing on our goal of building a diverse pipeline of potential, high value, innovative drug candidates in multiple therapeutic areas and we look forward to updating you on our progress for both our endocrinology rare disease and oncology portfolios as we continue to move forward during the year. Operator, we are now ready to take questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Jessica Fye with JPMorgan. Your line is now open.
Jessica Fye: Great. Good afternoon, guys. Thanks for taking my questions. I have two. First is on growth hormone, second is on PTH. First on growth hormone, have you heard back from Pitco on your pick and if not, when do you expect to hear feedback from them? Second is for the PaTH Forward top line results, will you tell us the proportion of patients who met each of the individual components of the composite primary endpoint. I think in prepared remarks, you mentioned that you are most excited to see the proportion of patients able to withdraw from standard of care? Is that a result that you will provide in addition to the primary endpoint? Thank you.
Jan Mikkelsen: Thanks Jess. Thanks for the question. I will start initial and then Dana she will take over. So let me start with a little bit about the PIP, the PIP is one of my love story cornerstone because I am from Europe and it has been really interesting for me to talk with a lot of U.S. investors about PIP and what is very meaningful a PIP and what is the entire procedure for PIP. So I have to think this is really great it’s coming up again and I have to say I was really extremely positive surprised, because if I look on the traditional way that how the PIP committee have dealt with the long-acting growth hormone they are just giving a waiver meaning is that basically have said that we don’t believe that is really providing a benefit to current therapy or it could be potentially looking on a safety perspective or other things like that. So all other long-acting growth hormone to my knowledge that either have been done with protein infusion or other things like that some of them was permanent pegylated or anything, got just what we call it PIP waiver. And this is basically not a great thing to have when you are basically have a pediatric program. So from our perspective, PIP waiver is very fast to get. It takes only – this is the first interaction, you get it and what we actually observed, which was very, very positive for us was that we actually have now a constructive dialog with them how really to interact and how to make a program that also fulfill the need for the pediatric or the people part on it. I do not know if you have anything to add on around that, Dana.
Dana Pizzuti: Sure. Yes, this is Dana. As Jan mentioned, we did receive initial feedback from Pitco and basically they requested more information and what they had requested was fairly consistent with what we are planning to do with the program. So until – and we have submitted the responses to the Pitco questions at the end of March and so we are waiting to hear their assessment of that. Again the process will still take another couple of months to get a final opinion from them, which will probably come at the end of June, so, but right now, so far, they haven’t made any indications that we would receive a waiver.
Jan Mikkelsen: Which we believe is extremely positive. I see the benefit of the TransCon Growth Hormone in a pediatric population and this is first time they ever have done that. I see this is basically because our superiority, the safety, and tolerability pre-clinical package everything what they have seen with us give us a pretty good comfort on our pathway forward in Europe.
Dana Pizzuti: And just to be a little more explicit about it, the outcomes are to get an approved PIP, which is what we are aiming for or you get a waiver if they cannot conclude that the benefit and risk is acceptable for the pediatric population.
Jan Mikkelsen: And just related to your second question, yes, it is the plan that we will have analysis related to each of the elements. So you will see how many of patients of the 59 patients, great to hear all 59 patients continue throughout their entire treatment period. We really didn’t lose one single patient, which I think is pretty good. And then we will give you the data how many of the patients where we could make complete withdrawal of activated vitamin D and I think this is really, really in important for us also to share that with you.
Jessica Fye: Great. Thank you.
Operator: Thank you. Our next question comes from the line of Tazeen Ahmad with Bank of America. Your line is now open.
Tazeen Ahmad: Hey, good afternoon guys. Thanks so much for taking my questions. Jan, maybe a couple on growth hormone, can you remind us what additional steps still needs to be completed in order for you to be ready to file your European application later this year? And then the second question also on growth hormone, can you give us an idea, because you are now going to try to gather some data on the adult population, what is the current use of let’s say the daily growth hormone therapies in the adult population in the U.S. right now and what kind of overall market opportunity do you think you could have with the adults? Thanks.
Jan Mikkelsen: Yes I think good – I think Dana will you take the first one, the European application?
Dana Pizzuti: Sure. Yes, with respect to the requirements for the MAA, there are some additional submissions that you need to make that are included in the module one of that documentation. One is about having an approved PIP, Okay, but the second is about a risk management plan and also the pharmacovigilance safety master file, okay. So there are these additional requirements over and above the U.S. requirements and we are working to address those and to have concrete plans in place to be able to meet our timeline for that submission.
Jan Mikkelsen: Going to the adult growth hormone deficiency trial, I do believe when I look on TransCon Growth Hormone, this is a trial which I’m just thrilled to get started because when I look on the other long-acting growth hormone, that the potential in the same area as why I say potential because we have now shown that they have the same benefit as TransCon Growth Hormone, but if you look at the Opco failed in the adult growth hormone deficiency trial. If you look on the Noble product that showed same IGF-1 level but basic 50% of the outcome, what we want to show that we can see the same benefit on a complete different endpoint, and this is more a metabolic effect, but you also use this metabolic effects in the pediatric treatment on it. So the two things are linked together even in the pediatric, you measure it, what I call high velocity as the primary endpoint. Obviously, you cannot use that in adult population, but you do it in this way, you are looking truncal fat and you can say that it’s a virtuous go the way to mention something, but is basic showing about how well can the growth hormone out in the target tissue and really provide the right benefit in the target tissue and this year with typical is the truncal effect compartment and I really looking forward to see that because we basically believe we will see a huge differentiation compared to some of the other long-acting growth hormones, but this is also a really relevant endpoint in the pediatric segment.
Tazeen Ahmad: Okay, now I guess how big is the adult population right now in the U.S.?
Jan Mikkelsen: Yes, that is basic, what we typically see of as about 10% of the entire glaucoma market, but then you can say is that market segment that is under-penetrated. When I look at the pediatric growth hormone segment, I would say it’s well penetrated. If I talk about the adult growth hormone deficiency it’s highly less penetrated. Some people believe that it’s only about 15% to 20% penetrated and there is a huge opportunity in this segment if you really can move the treatment paradigm up to a new state, meaning once-weekly treatment with really much, much easier to get an adult population also to adhere too and at the same time show really an good effect and that is what we would like to see in an adult growth hormone deficiency trial.
Operator: Thank you. Our next question comes from the line of Michelle Gilson with Canaccord Genuity. Your line is now open.
Michelle Gilson: Hi, thank you for taking my question. I guess I was just wondering if you could maybe walk us through the titration regimen for the long-term extension study. Could you just let us know, is it primarily based on serum calcium and also help us understand what does it mean that so many patients were able to completely remove standard of care and maybe what we can read through that to the Phase III study as patients get to an individual titration regimen?
Jan Mikkelsen: Hi, Thanks, Michelle. If I go back and say why it is possible for see – that we see this high level of removal of standard of care is we are providing the same profile that you see and observe through a lot of clinical data by applying a PTH product either for [indiscernible] or NATPARA in an infusion pump. In an infusion pump where you basically can ensure that you are in the physiological level 24 hours, seven days a week. All the data from studies were use in infusion pump at either of these two PTH product you basically observe the same thing that you basically can withdraw completely all of the standard of care. So when I look on our expected outcome, because we saw that in our Phase I data that we can basic mimic this physiological curve of PTH in healthy volunteers, we expect that we will see the same thing in patient too and we also expect that we will see the same effect of it. The only question we have is the four week long enough to get all the patient off or not. What we at least know now when we looked at the first patient in four weeks in the open label extension study, it was clear basic all of them was out of standard of care. So from that perspective, we know this product is function from this data set, how we really designed it to be.
Michelle Gilson: And then given that this four weeks appears to be long enough, the NATPARA Phase III study had 12 weeks of titration and 12 weeks of maintenance and you indicated that you’re planning to update us in third quarter on six-month follow-up, but would maybe a 16-week follow-up given that titration period is so much shorter be relevant from like a regulatory’s perspective especially if you are able to show urinary calcium and bone turnover biomarkers normalizing, like we saw in the NIH study?.
Jan Mikkelsen: I like to think the element which I actually would wait longest for will be the bone markers to ensuring that we basically are normalizing the bone turnover, because if you look on naive patients that have not seen PTH for a long time, they have a much higher bone density and when you start to initiate normalize PTH, you will see a much larger bone turnover because the basic are turning the old bone over to what we call much more normal structure. By doing that in this position, I would think that bone marker element that will take longer time for that, but I actually believe that why we – so test is about the six months is because the six months is more or less reflecting the treatment time that we expected to have in a potential Phase 3 trial. This is 6 months data and at that time, there is stabilization of lot of the element we also wanted to see and this is why we took the six months data as an essential element in Q3 this year. You can really potentially write three months, could also be extremely relevant for serum phosphate, urinary calcium or serum calcium and all what are called element to measure and this is everything is up for discussion and we can always make a cut point if we think that it is relevant to do, but it is also the element we would love to talk with the regulatory agencies about.
Operator: Thank you. Our next question comes from the line of David Lebowitz with Morgan Stanley. Your line is now open.
David Lebowitz: Thank you very much for taking my question. When you look at the 17 patients that were previously on NATPARA, are you going to break out those patients separately or will be completely blended in into the various cohorts that they are included in?
Jan Mikkelsen: They are most dependent on what endpoint you are looking at. If you are looking on the primary endpoint, no, if you are looking on change in potential bone markers, change in BMI, yes, because they are coming from a complete different background because NATPARA is basic and osteopetrosis compound being repositioned into the HP or hypoparathyroidism segment. So it’s functioning like Forteo providing a highly anabolic effect, so they are coming in with a complete different you can say background related to both bone marker and bone density. From that perspective is that when we look at this kind of endpoint, yes, it will be separated out. If you look on the primary endpoint, it should have no difference.
David Lebowitz: So clearly with respect to what we’re going to see in two weeks, then they, it’s not likely we’ll see much from that population and that would be more likely at the six-month time point.
Jan Mikkelsen: Or later on, 3 months other things, but I think it’s very, very important that we are showing that we can see the same effect in the two patient population and we really believe that showing that they have the same starting dose, the same algorithm is essential because then we can broaden out the entire demographic part of the patient saying it’s independent on you just switching directly from short-acting or you have never seen a short-acting PTH product before. You can transfer by this proven algorithm both patient population in a safe manner over to the TransCon PTH product.
Operator: Thank you. Our next question comes from the line of Joseph Schwartz with SVB Leerink. Your line is now open.
Unidentified Analyst: Hi, I am [indiscernible] for Joseph Schwartz. I guess my first question is for your TransCon PTH Phase 2 data expected in mid-April, could we – are you planning to provide additional OLE data at that time point or is it mostly just going to be the four week fixed dose data?
Jan Mikkelsen: It would be mainly the four weeks data. We have not decided if we are coming with thorough data cut at that time. We are currently basically have cleaned all the data and ready to lock all the databases related to the primary endpoint. So from that perspective, this is our main focus.
Unidentified Analyst: Okay, great. Thank you. And then my second question is could you speak to the frequency of clinical visits in the OLE study for TransCon PTH. So it seems like vitamin D and calcium supplements are tracked via electronic diary, which could be easily accessible remotely, but how often do patients need to go into the clinic to get their serum and urinary calcium checked and could this be done remotely if we they had to or have like a nurse come to the patients home or things like that.
Jan Mikkelsen: That is exactly what we are implementing now. So we are implementing is not possible basic to come to the hospital. We are also trying to make a complete new procedure for clinical supply where we are basically are in a position that we are not being dependent on hospital and other things like that and this is how we have an adaptive design of clinical trials now to ensuring that we can still keep all the patients in our trial ensuring that they get the drug on time, but also ensuring that we are in position that we have the right follow-up. And this is what we’re doing by patient to patient all the time.
Operator: Thank you. Our next question comes from the line of Jim Birchenough with Wells Fargo. Your line is now open.
Jim Birchenough: Yes, hi guys, thanks for taking the questions and congrats on all the progress in this environment. So just on the PTH program, just on the NATPARA group have been previously exposed. Could you maybe talk about what differences we might expect from their baseline, if they’ve been on NATPARA previously, but that was an adjunct to calcium, vitamin D. Would we assume that their baseline calcium and vitamin D levels are similar to the other group or are there some differences we should consider?
Jan Mikkelsen: I think the patient group is not that different between how they really started out from that perspective, so we are not seeing too – the current knowledge I have any kind of difference from that perspective aided to what you call clear demographic difference.
Jim Birchenough: And then just in terms of the potential difference between a short-acting and a long-acting with TransCon PTH. In terms of hypocalcemia, theoretically, would you expect lower risk of that with the TransCon PTH over the daily, is that something you’re tracking and something we should consider?
Jan Mikkelsen: Definitely, definitely, we believe that we expect to see a much, much more stable level and this is basically – you just imagine, in the beginning of the day, you have a major burst of PTH providing huge retention of calcium in the kidney system. That disappear after six to eight hours. Then you have a prolonged effect of mobilization from the bones, which have up to about longer time which are longer than the PK profile. At that time, you basically have no PTH in the kidney on a short-acting PTH so basic dump all the calcium immediately from the serum out in the urine. Also in that perspective is really, really hard to control anyway the serum calcium. What we provide is basically solving two major element, constant level of PTH meaning is that even it has been designed so there is 30% different between peaks through trough and therefore we advised to give it in the evening because during the night, you some time you’ll see on the normal curve of PTH you have about 20%, 30% higher PTH level because you get less calcium from the food. This is how we have designed it. The other part that is very, very essential if anything the patient by any mistakes forget in two or three hours, one day to get their PTH product, with TransCon PTH, we are not going to crash. There still will have sustained level of details, meaning is that they can manage to get the dose in the right time without need to move to the emergency room because they crashed and not having any kind of having a hypoglycemic episode.
Operator: Thank you. Our next question comes from the line of Alethia Young with Cantor Fitzgerald. Your line is now open.
Unidentified Analyst: Hey guys. This is Lee on for Alethia. Thanks for taking our questions. Just for TransCon Growth Hormone, can you just talk about where it is manufactured and then do you guys have any notable findings from your recent CMC meetings with the FDA and then for the PaTH Forward trial, it seems like there is just slight delay for the data readout, just wondering is it related to COVID-19?
Jan Mikkelsen: Let me just go to the first one. I would take the first one. Then I will take the second one and Scott will take the third one. So I think when you look on the manufacturing supply chains we have, it’s basically built in a way where we both are securing our manufacturing to a dual strategy. So what I’m describing now is one of our pathway. So if you basically have a pathway where we produce [indiscernible] but it’s not really how you produce it because what you are building up, you are building up storage capacity on two different geographic regions in two different places to ensuring that you always have storage capacity for a long time manufacturing, if there is any kind of delay in the manufacturing. This is one of the principle in what we call robust supply chain. So first of all, you have one place you produced, a new place to start, then you have a running supply chains and it’s typical having two different geographic region to ensure that and this is basically how we build it up. So currently our manufacturing for this primarily is Switzerland, Japan and the U.K. and we have not seen any kind of delay in any of the sites in any of the manufacturing.
Dana Pizzuti: So the right for the CMC meeting that we had with the agency, which was back in the beginning of December, there really weren’t any problematic issues at all. A lot of it was related to the location of certain sections in the application and then we were able to provide a little bit more of an education about our device and how that works and how we’ve tested it, but again, there wasn’t really anything controversial or problematic that would affect the ability to file the application.
Scott Smith: And then finally we’re exactly on track as we disclosed four months ago in January at JPMorgan with the data, so no difference, no change, all on track.
Operator: Thank you. Our next question comes from the line of Liana Moussatos with Wedbush Securities. Your line is now open.
Liana Moussatos: Thank you for taking my question. About how long do you think the adult trial will last? Do you think you could have data by the end of 2022 or more likely 2023?
Jan Mikkelsen: We will disclose that in – I expect later in the year when we starting to recruiting, we get the sites up running and all the time and we see the initial recruitment. As soon as we see the initial recruitment, we basically can give a much better prediction when we expect it to be fully enrolled, but we actually see a great assessment for this product here because and we typical as we are doing in all our trials, we go really broad out a lot of different countries, a lot of different sites because this is one of the capabilities we have in our global thinking that we’ve managed – can open sites everywhere in the world and by doing that, if there is some problem in one region, we will just switch recruitment over to another region to ensure we are on track with the timeline we want to be on.
Liana Moussatos: Thank you very much.
Operator: Thank you. Our next question comes from the line of Adam Walsh with Stifel. Your line is now open.
Adam Walsh: Hey guys, thanks for taking my questions. It’s good to hear your voices. My first one actually have two on TransCon PTH and the first one is, in talking to doctors, a lot of them stress the importance of whether or not their patients are symptomatic and I know you are using a PRO tool to kind of measure symptoms. Will it be too early to see symptoms in the four week blinded portion of the trial?
Jan Mikkelsen: I think we – it’s a good question. What we are – I’m just going back and thinking about when did we see it in the infusion studies and how early was that reported and I’m not 100% sure how early we could see it in the reporting. There were some patient that explained that yes, you can see it pretty much immediately because typically this is not dependent on calcium regulation, it’s a direct effect of the liberated PTH directly into the cognitive or the brain part on it. So it is a good question and I cannot answer it yet.
Adam Walsh: No worries. I have a follow-up. They’ve also talked a little bit about obviously nephrocalcinosis is a big problem in these patients and that’s something that they are keenly interested in the urinary control of calcium and some have suggested that one way of looking at that kind of shorter-term is using cross-sectional decks or ultrasound measurements to kind of see that. At what point and first of all, will you be doing that and second of all, at what point in time is the earliest time point that you think you might be able to have some imaging that could support the actual long-term benefit to the kidney as opposed to just the urinary calcium measurements? Thank you.
Jan Mikkelsen: Exactly. This is why we basic on baseline. We really have proper testing about all the element you are talking about. To be quite sure we are in a position when this patient go over in the open label extension study, we can follow them and I will think realistic potentially, we can start to see something after six months and perhaps we need 12 months, but is exactly why we actually are making the demographic baseline now, really also to see the long-term effect and this is not only on renal impairment we are looking on. We are also looking on normalization of bone density, normalization of bone markers and all of these other elements that is important to be quite sure you also see a way to address the long-term complication this patient group have. Sure, nearly all of them have really short term symptoms and the short-term symptom I think we can address better there. The long-term complication is basically all of them have to – we also will try to address them and what some of them because they are by definition long-term complication, it will take longer time to basically measure a meaningful impact, but I also believe to going back, Adam, is that people in the field of real damage have pretty high level of confidence if you have a positive impact on urinary calcium, it is also will end up having a positive impact on the kidney functional system.
Adam Walsh: Great. Thank you so much.
Operator: Thank you. We have no further questions at this time. Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.